Operator: Good afternoon. Thank you for joining us today to discuss LifeMD's results for the first quarter ended March 31, 2024. Joining the call today are Justin Schreiber, Chairman and Chief Executive Officer; and Marc Benathen, Chief Financial Officer. Following management's prepared remarks, we will open the call for a question-and-answer session. 
 Before we begin, I would like to remind everyone that during this call, the company will make a number of forward-looking statements which are subject to numerous risks and uncertainties that may cause actual results to differ materially from those projected. These risks and uncertainties are described in the company's 10-K and 10-Q filings and within other filings that LifeMD may make with the SEC from time to time. Forward-looking statements made during this call are based on current information available to the company as of today, May 8, 2024. The company assumes no obligation to update or revise any forward-looking statements after today's call, except as required by law. 
 Also, please note that management will be discussing certain non-GAAP financial measures that the company believes are important in evaluating LifeMD's performance. Details on the relationship between these non-GAAP measures to the most comparable GAAP measures and reconciliations thereof can be found in the press release issued earlier today. 
 Finally, I would like to remind everyone that today's call is being recorded and will be available for replay in the Investor Relations section of the company's website. 
 Now I'd like to turn the call over to the LifeMD's CEO, Justin Schreiber. Please go ahead. 
Justin Schreiber: Thank you, and good afternoon, everyone. After the market closed, we issued a press release announcing our first quarter financial results and posted an updated corporate presentation on our website at ir.lifemd.com. Last year's robust business momentum continued into 2024, producing strong first quarter performance across both our weight management and REX businesses. During the quarter, we added 20,000 total patient subscribers, ending the quarter with over 235,000. As of the end of the first quarter, we had over 42,000 weight management patient subscribers with performance in this area continuing to be well ahead of our expectations. As of today, I am pleased to report we have over 50,000 weight management subscribers. Importantly, more than 80% of patients who start GLP-1 treatment remain a patient after 90 days, and we are very pleased with these and subsequent first year retention figures. 
 Our core telehealth business continues to outperform with revenue growing 53% versus the prior year. Continued outperformance in our GLP-1 business is the key driver behind the increase to 2024 revenue guidance we're announcing today. Our noncore subsidiary, WorkSimpli, started the year off with softer-than-expected results in January and February before returning to growth in March and ending the quarter with a sequential increase of 8,000 subscribers. For the quarter, WorkSimpli revenue grew 3% versus the prior year, but this business remains on track to achieve the full year revenue and EBITDA goals consistent with our guidance. 
 As we look ahead to the rest of 2024, we're focused on several key initiatives that we believe will catalyze significant growth in LifeMD's market share and our top and bottom lines in 2024 and beyond. I'll speak more about each of these initiatives today, which include: one, continued growth of our GLP-1 weight management program; two, new launches under RexMD; three, the launch of private and government insurance options; and four, implementation of AI initiatives across our telehealth business. 
 First, our weight management business continues to enjoy tremendous growth with demand for our services and products still consistently exceeding the supply of available appointments. As I mentioned, we added a record 20,000 new patients in the first quarter with no signs of this trend slowing down. Unit economics remain tremendous with our day 1 return on ad spend continuing to exceed 1x and our expected month 12 return on ad spend expected to be at least 2.5x. 
 During the quarter, we also accelerated our rate of growth in new patient sign-ups from less than 200 per day to 400-plus new patients per day. Today, the single greatest limiting factor to our growth has been creating additional employment capacity and our ability to scale our ratio of patients to providers. To accomplish this, we continue to invest in growing our clinical staff, but also, and equally as important, we continue to invest in developing our platform's automation and technical capabilities to create more efficiencies for our affiliated providers and patient support teams while enhancing the overall experience patients have on our platform. 
 Additionally, we've recently begun to see significant upticks in the approval rates for GLP-1 payer coverage from the prior authorizations we file. Currently, we see approval rates of 40% to 50% on Wegovy and Zepbound prior authorizations with co-pays averaging between $35 and $70. These figures are a big improvement from our approval rates earlier this year, and they have contributed to our more recent refund rate declines from nearly 33% to approximately 15% to 20% today. 
 As announced in December, we signed a collaboration agreement with Medifast, one of the largest coach-guided diet and nutrition companies in the U.S., which included a $10 million equity investment and $10 million in collaboration fees for LifeMD. 
 Medifast's OPTAVIA coaches are now able to work with LifeMD affiliated providers to provide patients with an integrated solution and holistic approach to weight management. Medifast will also be investing at least $25 million in consumer marketing to support growth of this program for the balance of 2024, which we expect to have a meaningful increase in the volumes of new patients acquired from this program. We are pleased with the collaboration to date, and look forward to providing more updates on this integrated offering as it is fully rolled out in the coming months. 
 Moving to our second key initiative. We remain as excited as ever about our RexMD brand, which has consistently produced double-digit growth and strong profitability without the benefit of any new products. This quarter, I am pleased to announce we expect to launch 2 new offerings into this brand. First, we plan to launch our hormone replacement therapy offering led by testosterone therapy. This offering not only presents a tremendous cross-sell opportunity for the existing Rex patient base, but also addresses a tremendous and underserved telemedicine market for LifeMD to tap into within the men's health market that is highly synergistic to our existing Rex and GLP-1 weight management businesses. 
 The current size of this market is estimated at $2 billion annually. And unlike many other categories LifeMD has successfully entered, we expect to be an early mover in this market from a telehealth standpoint with a comprehensive and differentiated offering designed in conjunction with leading clinical experts in the field. We expect this offering to be a substantial contributor to the company in the years to come. 
 Additionally, later this month, we'll also be launching our weight management program under RexMD as an asynchronous offering. Similar to HRT, we expect this offering not only to have substantial cross-sell potential, but also to provide a valuable new avenue from which to market our industry-leading weight management program as a bundled offering with clinical care. 
 The fact is that in just 4 short years, RexMD has grown to become one of the leading men's health brands in the U.S. and has been trusted by over 500,000 men to date. RexMD patients typically have ample disposable income, are typically over the age of 40, and they know and trust Rex for the outstanding service and patient experience we provide. Our data suggests there is a substantial need for both HRT and weight management services among these patients, and we believe both of these new offerings have the ability to significantly accelerate the RexMD business, and in turn, the LifeMD growth rate in the years to come. 
 And under our third key 2024 initiative, we continue to make good progress preparing for the launch of our insurance program offering. We are on track to launch our initial insurance visits on a limited state basis in the second quarter with the first state expected by late May or early June for our virtual primary care offerings, including weight management. 
 We have several payer contracts in place. We hired our initial Head of Revenue Cycle Management, and we are in the latter stages of finalizing our systems deployment for government provider enrollment, benefits verification and revenue cycle management. While we do not expect this launch to be material to 2024 results, we do believe insurance capabilities will be extremely valuable and differentiating in 2025 and beyond, while also driving further retention improvements. 
 Additionally, we are extremely excited about launching government insurance capabilities by late 2024 or early 2025. The fact is this population is an entirely new audience for LifeMD. Today, there are over 65 million people enrolled in Medicare across the U.S. with that number growing each year. In addition, with the recent FDA approval of Wegovy for cardiac health, estimates show that approximately 4 million people could receive coverage through Medicare for this drug. Because of this, we believe insurance and, in particular, government insurance plans, represent a huge untapped market for LifeMD, which is why we continue to build our compliance capabilities, specifically geared towards supporting the needs of Medicare beneficiaries. By doing so, we also believe we are further differentiating ourselves into a telemedicine market leader that's capable of servicing the full range of patient populations and a significant number of health care needs. 
 I'm pleased to announce that we have made meaningful progress in the implementation of AI across the organization. Since launching pilot AI features in early March, our patient care experts have achieved 60% greater response throughput for patient inquiries, where over 48,000 responses have been sent to patients with support from our trained AI models. 
 We've now also used AI classifiers to triage over 168,000 patient messages across medical, administrative, shipping and technical categories for streamlined and improved patient care. We are just scratching the surface in this area, and I'm excited to announce further improvements on our ability to scale, improve cost efficiency and deliver better care in the quarters to come. 
 In short, we are extremely excited about the potential for continued strong performance in 2024 while building new foundations for additional growth and differentiation in the years to come. 
 And with that, I'll turn the call over to our CFO, Marc Benathen, who will provide a summary of our financial results. Marc? 
Marc Benathen: Thank you, Justin, and good afternoon, everyone. LifeMD had solid first quarter financial performance with total revenue growing to $44.1 million and cash adjusted EBITDA of $4.8 million, a 108% increase for this measure versus the prior year comparable period. Q1 revenue was up 33% versus the year ago period with telehealth revenues increasing 53% and WorkSimpli revenues increasing 3%. Adjusted EBITDA, not including the increase in deferred revenue related to prepaid subscriptions primarily from weight management growth, was approximately $500,000.
 WorkSimpli, which had a soft January and February performance, rebounded sharply in March and ended the quarter with a sequential increase in subscribers of 8,000 versus the prior quarter. Our GLP-1 weight management program continued to overperform, driving growth in telehealth and sizable benefits and cash flow from operations, which exceeded $5 million for the quarter and positive net cash flow as LifeMD's cash balance grew by $2 million during the quarter, purely from strength of our D2C telehealth business. 
 Telehealth subscriber growth remained strong, with the number of active subscribers increasing 31% year-over-year to approximately $235,000, while WorkSimpli active subscribers contracted 4% to over 166,000. As I mentioned, WorkSimpli subscribers did return to growth late in the quarter and ended the first quarter with an increase of 8,000 subscribers compared to the fourth quarter of 2023. Importantly, with this return to growth, we expect WorkSimpli to meet full year EBITDA expectations in the range of $17 million to $18 million and full year revenue expectations of $65 million. 
 Consolidated gross margin for the first quarter was a record 89.6%, up 230 basis points versus the prior year period. Gross profit for the quarter totaled $39.5 million, an increase of 37% from the year ago period. 
 Our GAAP net loss attributable to common stockholders for the first quarter totaled $7.5 million or a loss of $0.19 per share. This compares to a GAAP net loss attributable to common stockholders of $4.8 million or a loss of $0.15 per share in the first quarter of 2023. 
 Adjusted EPS is a non-GAAP financial measure that excludes interest, taxes, noncash expenses, dividends, stocks and insurance acceptance readiness, litigation expense, noncontrolling interest, M&A, financing transaction costs and foreign currency translation. Reflecting those adjustments, adjusted diluted EPS for the first quarter was $0.01 compared with $0.06 in the year ago period. Adjusted EBITDA, which is a non-GAAP financial measure that excludes the same items I noted for adjusted EPS, totaled $0.5 million in the first quarter of 2024. This compares with adjusted EBITDA of $2 million in the year ago quarter. 
 Importantly though, when adjusting for the sizable increase in deferred revenue related to weight management, cash adjusted EBITDA totaled $4.8 million, up from $2.3 million in the year ago period, representing an increase of 108%. 
 LifeMD generated $5.2 million of positive cash flow from operations during the first quarter of 2024 versus negative cash flow from operations of $2.6 million in the year ago period. This is the fourth consecutive quarter of positive cash flow from operations and the third quarter of positive net cash flow when factoring in cash flow from investing and financing activities. 
 Cash balance has totaled $35.1 million as of March 31, 2024, an increase of $2 million versus the prior quarter, driven entirely by continued strength in cash flow generation from our telehealth operations. As Justin mentioned, we are raising our 2024 guidance for total revenue to be at least $205 million, up from at least $200 million previously while reaffirming our adjusted EBITDA guidance to be between $18 million and $22 million. 
 This wraps up our financial results. I'd now like to turn the call back over to Justin. 
Justin Schreiber: Thanks, Marc. As I've always said on these calls, I remain very optimistic and excited about the future of LifeMD. Our core businesses are growing, have dominant positions in very large markets that have a clear and long-term growth trajectory. For the remainder of this year, we will focus on profitable growth of our telehealth business. This means relentlessly focusing on creating an amazing patient experience, investing in our differentiated telehealth services and products, and continuing to enhance and optimize our technology platform. Continued focus in these areas drives better patient outcomes, better retention and better returns for shareholders. 
 With that, I'd like to thank everyone for joining us today, and we'll now open the call to Q&A. Operator? 
Operator: [Operator Instructions] Your first question comes from David Larsen from BTIG. 
David Larsen: Congratulations on the quarter. Can you maybe talk about your expectations for profitability of the health care business? Like are you EBITDA breakeven right now or not? What would you expect health care EBITDA to be in, say, 4Q of '24, for example? And then how should we be thinking about an EBITDA margin for health care as we head into 2025? 
Marc Benathen: Yes. This is Marc, David. So the telehealth EBITDA is slightly negative today. It is cash flow positive. The only reason it's negative is the deferred revenue from weight management. The EBITDA loss from telehealth this quarter was slightly below $1 million. So not very significant. Actually, it's moving in the right direction. And again, with the sizable increase in deferred revenue of $4.3 million, if you add that to the about $1 million loss, telehealth business is actually a $3 million positive on a cash flow basis. So really moving in the right direction. 
 We still expect the business from a P&L standpoint to turn profitable June, July of this year, which would mean the first quarter that you would see stand-alone profitability for telehealth will be the third quarter. And we expect a pretty steep slope up from that. In the fourth quarter, we do expect between $3 million to $5 million of EBITDA from the telehealth business by itself. And then next year, we do expect EBITDA to exceed $20 million on a full year basis. 
David Larsen: Okay. Fantastic. So $20 million of health care EBITDA for fiscal '25, I guess, is the guide. And then can you maybe just talk about what the drivers of that incremental profitability are? I mean, is it -- I mean, nothing simple, but is it as simple as gaining leverage with your -- I think it's 30 providers that you have on your platform. As you add more weight management members, you basically scale, and they simply become more profitable. Is it that simple? Or are you sort of changing pricing [ or treating them? ] 
Marc Benathen: No, no, no. I mean, we're not taking price increases. That's not our business. It's a few big factors. So firstly, we have about 70 providers today. But where a lot of the profitability scale comes from is the few factors. One, continuing to leverage our marketing spend as a percent of sales. Right now, we're in a very heavy growth early phase of weight management, so you're not going to get much leverage at this point. But as we put on -- we have over 50,000 patients at this point. As we put on more and more, a greater percentage of that revenue comes from rebilling of existing patients than comes from new patients. 
 New patients have an acquisition marketing cost associated with it, which we are slightly in the red day 1 on a cash basis. Obviously, a GAAP basis, [ you'll look actually more in the red ] because you spread most of that out over 6 months. Rebilled patients, almost all of that flows to the bottom line, you've essentially got your COGS and merchant fees. 
 So something like 70% to 80% of that flows to the bottom line. So that's the biggest lever is obviously leveraging the marketing expense retention of existing patients, which gets bigger and bigger as the base gets bigger in weight management. And then the other piece, as you mentioned, is just continuing to leverage our G&A, which will move up as we get bigger, but it doesn't move up in lockstep with the rate of growth in revenue. And leverage comes from that as well. 
David Larsen: Okay. And just one more before I hop back in the queue. How many weight management members did you have at March 31? And then how many do you have right now? 
Marc Benathen: Yes. We have 42,000 in March 31, approximately. And we have slightly over 50,000 now. 
David Larsen: Fantastic quarter. 
Justin Schreiber: Thanks, David. 
Operator: Your next question comes from Sarah James from Cantor. 
Sarah James: So it's impressive growth to 70 physicians. Are you guys still looking at adding about 4 to 5 a month? And I think previously, we talked about there being capacity for about 1,000 patients per physician. So does that mean that you guys are -- have the capacity to go up to about 70,000 weight loss patients with your current staffing levels? 
Justin Schreiber: Sarah, this is Justin. So we're continually adding providers to the platform. Four to 5 a month sounds like a fairly accurate number. It might be slightly more than that. It's a mix of -- we are adding some part-time providers as well. And then as far as scale, I think we can -- I think we think the number is greater than 1,000 patients per provider. We probably think it's close to double that, especially if our tech is in place and kind of doing what we think it should be doing. 
 But generally, the goal -- our guide for this year, as we've talked about before, was based on that 350 new patient per day range. We do think we're going to end up coming in ahead of that, which is one of the reasons why we've increased the guidance a little bit today. And if we were to scale to 1,000 patients a day, we would have to probably double. We probably have to increase the physician group by at least 50%. 
Sarah James: And also, it's great timing with you guys getting set up in late '24, early '25 to launch the government insurance coinciding with the FDA approval of Wegovy for cardiac. How do you plan to tap into that market? So do you guys need to modify your marketing channels and strategy? And how are you thinking about leveraging your installed base with reps to tap into seniors? 
Justin Schreiber: Well, we think there's a big opportunity there in the fee-for-service world with Medicare beneficiaries. I think they were -- initially, our plan is to tackle this the same way in a very similar way to our current offerings, but allow people to use their Medicare or use their private insurance and then they pay a concierge fee alongside of that for noncovered services. 
Operator: Your next question comes from William Wood from B. Riley Securities. 
William Wood: Congratulations with a very nice quarter. So you recently passed the 1-year mark on when you launched your weight management business. Given that I've seen figures of upwards of like 60% of people that use GLP-1 drop off within the -- after the first 12 months, do you have any retention data possibly even for the 6 months that the people -- the first patients who started around this time last year? And then how many have stayed on for 6 months versus maybe even 12 months? 
Marc Benathen: Yes. So from a retention standpoint -- this is Marc -- patients that go on therapy. So as we've talked about before, we have that initial drop off due to access issues, people are not getting approved for coverage on the branded, not wanting to go on a compound of the treatment and not being able to afford to cash pay, which obviously many people can't afford. When we started the business in April of last year, on the weight management side, for the first several months, that was about 33% of the cohort would drop off during that period. We're down to 15% to 20% dropping off. Now our prior approval rates have gotten better, our communication, our diligence and our processing has all gotten better. So that's been one win.
 If you go then to people that get on treatment, which typically you'll know, in most cases, within the first 30 days, sometimes they can extend more because some prior authorizations goes longer. The first 90 days that those people are on treatment, we see over 80%. It's actually about 80% or 83% remain on treatment after 90 days. So really strong initial retention rates. 
 The longest cohorts that we have today that are meaningful -- I mean, the first couple of months is not really statistically significant -- are about 10, 11 months old at this point. What we're seeing is we're seeing retention approaching about 50% of the total. But if you consider the fact that in those cohorts, so say, it started with 100 people, 30 of them dropped off for access issues right away, the retention, long term, of those people that are going on treatment still looks like it continues to be very good. 
William Wood: Got it. Very helpful. I appreciate that color there. You also -- I mean, you've noted just recently, you know that to get up to 1,000 patients a day, you would need to increase by like -- providers by like 50%. Are you trying to bring in sort of the AI and more of the automation? Or how should we think about the continued scale up and what it's really going to take with growing not only the top line but the bottom line. 
Justin Schreiber: Yes. This is Justin, William. That's a good question. I mean the AI is something we're really excited about, as we talked about during the call. We're seeing a lot of efficiencies now across the organization from rolling some of these things out. I mean I think that, over time, it certainly will make a big impact on the clinical side. But I think near term, those -- the AI and a lot of the efficiencies that come from our technology platform are really kind of helping us to provide incredible care to more patients as we scale the business. They're reducing the costs associated with patient care, patient service, the call center, all of that stuff. So it certainly is going to play a role and help us to scale the business without expanding the overhead as much as we've had to, to kind of go from 0 to 50,000. 
Operator: Your next question comes from Alex Fuhrman from Craig-Hallum. 
Alex Fuhrman: I wanted to ask, Justin, about the upcoming launch of a weight management offering under the RexMD brand. Can you talk a little bit about how you're going to go after that male consumer? And just how that compares to your existing weight management business under the LifeMD brand? If you could maybe share with us how much of that existing business is male versus female? 
Justin Schreiber: Yes. Alex, sure. This is Justin. So the initial focus of the RexMD weight management offering will be on like our existing database, which is 150,000 to 200,000 active subscribers, 0.5 million subscriber, formerly active subscribers. And then we have a lot, like millions of prospects in that database as well. So that's the initial focus of those efforts. 
 There's clearly a lot of these people -- a lot of these men that are in 40, 50 years old is kind of the target demo that have erectile dysfunction. We know at least 50% of them have multiple chronic conditions. Obesity is typically -- or being overweight or obese is typically one of them. So as far as how we're going to target them, it's going to be very similar to the way that we targeted men for erectile dysfunction and the other treatment offerings on RexMD. 
 As far as how it's going to be structured, we have a -- we plan to use the same technology platform that we use for our ED business, which is an async platform. There's some sync capabilities in certain states where it's required. But we plan to use -- we use that same platform. It will be a bundle. We're planning to launch a bundled offering, which will include -- which will be basically a therapy provider and the entire program, similar to what we have on the weight management side. It's going to be priced somewhere around $300 a month is the plan. And look, we just think -- we think that there's a big opportunity here within this demographic for weight management offering, and we're really excited about getting this thing launch. We're going to be launching in the next couple of weeks. So it's a very near-term initiative for us. 
Alex Fuhrman: Great. That's really helpful, Justin. And then on the Medifast partnership, it sounds like they're going to spending quite a bit of money marketing your joint offering in the third and the fourth quarter. Can you give us a sense of how much of your expected growth in the back half of the year is expected to come from this RexMD-like weight management offering as well as the Medifast partnership? 
Justin Schreiber: The vast majority of the growth that we have in our guide for the year really doesn't include Medifast and RexMD. So we think both of these things -- we think they're both going to be successful. And I think that's -- it's a lot of upside for the year. We're excited about both of them. 
Operator: [Operator Instructions] And there are no further questions at this time. I will turn the call over to Justin Schreiber for closing remarks. 
Justin Schreiber: Thanks, everybody, for your questions and for your interest in LifeMD. We look forward to speaking with you once again when we report our second quarter results in August. Have a good evening. 
Operator: Ladies and gentlemen, this concludes your conference call for today. You may now disconnect your lines. Thank you.